Operator: Greetings and welcome to REV Group’s Fourth Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to Sandy Bugbee. Thank you. You may begin.
Sandy Bugbee: Thank you, Sherri. Good morning, everyone and thanks for joining us. Last night, we issued our fourth quarter 2017 results. A copy of the release is available on our website at investors.revgroup.com. Today’s call is being webcast and is accompanied by a slide presentation, which includes a reconciliation of non-GAAP to GAAP financial measures that we will use during this call. It is also available on our website. Please refer now to Slide 2 of that presentation. Our remarks and answers will include forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks that could cause actual results to be materially different from those expressed or implied by such forward-looking statements. These risks include, among others, matters that we have described in our Form 8-K filed with the SEC last night and other filings we make with the SEC. We disclaim any obligation to update these forward-looking statements, which may not be updated until our next quarterly earnings conference call, if at all. All references on this call to a quarter or a year are to our fiscal quarter or fiscal year unless otherwise stated. Joining me on the call today are our President and CEO, Tim Sullivan as well as our CFO, Dean Nolden. I will now turn the call over to Tim.
Tim Sullivan: Thanks, Sandy. I think we will mix it up a little bit today and Dean, why don’t you go first and give us some of the financial highlights?
Dean Nolden: Yes. Thanks, Tim. Good morning and I will start on Slide 7. We are very pleased to report strong growth and improved profitability for the fiscal 2017 fourth quarter. Quarterly net sales of $684 million were up 26% over last year and for the full year we grew sales by 18%. Strong organic growth in our fire and emergency and recreation segments drove our sales performance as well as the introduction of innovative new products across all our businesses. Acquisition is a core element of our ongoing growth strategy also contributed to our growth for the quarter and for the year. We are very happy with the initial performance of our acquisitions. All of them had driven sales and backlog increases in their respective segments. We continue to make capital investments in these businesses to increase their scale and enhance their profitability as we move into fiscal 2018 and beyond. Net income in the fourth quarter was $22.7 million or $0.35 per diluted share and $31.4 million or $0.50 per diluted share for the year. Adjusted net income grew by 59% for the quarter to $29.2 million or $0.44 per share. For the full year, adjusted net income grew by 43% to $75.9 million or $1.22 per share. These are significant year-over-year improvements driven by growth in core earnings and a reduction of interest expense. Speaking of significant achievements, adjusted EBITDA for the fourth quarter increased 39% to $58.4 million and full year adjusted EBITDA grew by 32% $162.5 million. Adjusted EBITDA grew from increased sales, the impact of our ongoing procurement and production cost optimization initiatives, pricing and the contribution from acquisitions. We are very proud of our growth in profits for the year and resulting 80 basis point improvement in adjusted EBITDA margin. We expect the pace of those operational levers to continue and accelerate in fiscal 2018 as we benefit from the continued improvements made in our operations as well as from our increased scale. Let me now turn to Page 8 to discuss the performance of our segments. Fire and emergency segment sales grew 30% for the fourth quarter and 28% for the full year. The primary drivers of this increase were higher unit sales, contribution from our acquisition of Ferrara and a greater mix of higher content higher value vehicles. F&E adjusted EBITDA for the quarter grew 34% and 29% for the full year driven by this increase in sales and mix were also due to the actions we took to improve segment profitability including productivity, pricing and operational initiatives, particularly at our KME and Ferrara businesses. Going forward, we see continued strength in our F&E businesses from continued high demand in both fire and ambulance end markets, which are still recovering from prior recessionary levels. As shown on Slide 9 in our commercial segment, quarterly sales were down 2% and 9% for the full year primarily from lower sales in our shuttle bus product category where we continue to be more selective in pursuing higher margin business. The shallower decline in the fourth quarter was driven by sales increases in other commercial product categories, which included transit busses, terminal trucks and sweepers. Looking forward, we exited the year with a very healthy commercial backlog increase of 44% sequentially and 62% versus the prior year. Commercial adjusted EBITDA margin was 8.4%, down 50 basis points for the quarter, but for the full year, commercial adjusted EBITDA margin was 8.2%, which was an increase from 7.9% in the prior year. Going forward, we believe the end markets in the commercial segment are also strengthening as transportation services continue to be outsourced and legislative replacement cycles continue and we believe our commercial margins will continue to increase through added scale, our return to sales growth in 2018 and the benefit of actions that was taken this year. Turning to Slide 10, quarterly sales in the recreation segment grew 57% and 38% for the full year partially driven by sales from our acquisitions Renegade in Midwest. Segment sales also benefited from increased unit sales and higher average net selling prices. We exited the year with segment backlog of 80% on a year-over-year basis and 25% sequentially versus the third quarter. Recreation adjusted EBITDA increased 250% for the fourth quarter and 229% for the full year primarily related to these higher volumes, but also because of our ongoing procurement initiatives focused on quality, operational improvements and the impact of our acquisitions. Our full year recreation adjusted EBITDA margin grew 320 basis points, 5.5% of net sales, up from 2.3% last year. Looking ahead, the end markets recreation also remained very strong as customer demand across many demographic groups continues to embrace the RV lifestyle. Overall, consumer confidence remains strong, which also bodes well for the continued growth in the segment. Turning to our balance sheet, total debt at October 31 was $230 million. As a result, we had $186 million available under our ABL revolving credit facility. Capital expenditures are $4 million for the quarter and $54 million for the full year as we made investments in our production plants’ equipment, service locations and our IT systems to drive scale and growth. Looking forward, we expect capital expenditures for fiscal 2018 to be consistent with fiscal 2017 at the $50 million level. Finally, we are forecasting that we will realize improvements in our management of working capital and realized positive free cash flow and net debt reduction in fiscal 2018 before the impact of any future acquisitions. In addition, we have more than adequate liquidity, low leverage and access to external markets that will be the fuel to our growth initiatives in fiscal 2018 and beyond. I will now turn the call back to Tim.
Tim Sullivan: Thanks, Dean. Obviously, very exciting times here at REV. I am usually fairly measured in my self evaluation of our corporate performance, but I reflect back on our fourth quarter and full year performance in 2017. Quite frankly, I am amazed at what our team accomplished. Let me give you a few highlights from the quarter and the year. We began the year, executing a very successful IPO in January pricing at $22, which was $1 above our initially projected range. In October, we completed a highly successful follow-on equity offering of 11.5 million shares. Both of those offerings, the IPO and the secondary follow-on were significantly oversubscribed. We achieved 32% increase in adjusted EBITDA on sales of 18% year-over-year. This was the second year in a row that we achieved such results. I am hard-pressed to find any industrial company or any company for that matter that achieved this level of success in 2 years back to back. We introduced 17 new products, we acquired 4 companies and we became the first ever OEM to be qualified by Ford Motor Company to sell genuine Ford parts. So, you look back on the year and we are just really – I am very proud of the team. The team did an outstanding job. But we actually completed our high-fives 7 weeks ago and we are already well into fiscal 2018, let me set the stage for what we see for 2018 going ahead. First and foremost, we are reiterating today guidance that we presented in October during our follow-on, which is net sales of $2.4 billion to $2.7 billion and adjusted EBITDA of $200 million to $220 million for full year fiscal 2018. This is now three years in a row of revenue growth exceeding 15% and adjusted EBITDA growth exceeding 30%. Again, I know no other industrial company even close to this type of performance and this is 3 years in a row. I should also clarify that in my entire career has always been about making money, which in turn directly impacts shareholder value. Revenue is a nice metric, but there are a lot of different ways to make money other than just growing the top line. You should know that at REV, it’s all about making money. Our business segments are reporting, as Dean said, strong demand for our products consider a continued economic recovery in the United States and the fact that almost 60% of what we sell in the U.S. market is based on federal and local tax revenues. We have a very steady state of demand that just is going to continue to grow as we move through 2018 and beyond, couple that with the incredible demand on the RV market and I like our chances a lot as we move into 2018. We are out of the blocks, hot, in Q1 with new initiatives. We announced that we have entered into a joint venture in China with Chery Holding Group to manufacture RVs, ambulances and other specialty vehicles for distribution not only within China, but also in the select international markets. Chery is the largest exporter of passenger vehicles in China serving 80 different countries and 6.5 million people worldwide. We took 2 years and a lot of diligence before we chose the partner we wanted to collaborate with in China. And quite frankly, we couldn’t be more pleased with our new relationship with Chery. The initiative coupled with the establishment of our new plant in Brazil that was opened in May is a huge step forward in meeting our desires to be a worldwide manufacturer of specialty vehicles. Our Brazil plant which serves all of Latin America is already turning a profit after only 6 months of operation. It will take significantly longer to reach this type of financial performance in China with our China JV, but clearly demand will be much larger when the China operation is up and running. We introduced our first new product for 2018 at the end of October at the LA Auto Show in conjunction with Chrysler. We introduced the first ever hybrid wheelchair accessible mobility van. The vehicle successfully completed its required crash testing earlier this week and we are very excited to get this vehicle into the market beginning of January. So, obviously 7 weeks into the New Year and we are already off to just a really great start, very pleased by where we are at in 2018 so far. Before I turn over to questions and answers, I have asked Nicole Gustafson to join us. He is our VP of Tax. Obviously, a lot of interesting, breaking news coming out of Washington DC overnight, many of you know that we are effectively today at least a domestic-centric company, which means that we are paying probably the max – and not probably we are paying the highest tax rate, probably, of any U.S. company. So, I wanted Nicole to give you with some really precise numbers as to what that means assuming that the vote goes through Congress today. We expect it fully will – may have already been done, but if she could give us some exact numbers as to what that will mean to us as a company in 2018.
Nicole Gustafson: President Trump is expected to sign tax reform into law, which is hugely beneficial to REV Group. Assuming a full year impact of cash reform in fiscal 2018, we expect to normalize effective tax rate of approximately 28% to 30%, a decrease of nearly 10% from our previous rate. We estimate fiscal 2018 effective tax rate will be in the range of 23% to 25% due to other one-time benefits from tax reform. This will also free up additional working capital each year, estimated at $15 million for 2018.
Tim Sullivan: Thanks, Nicole. And with that, let’s turn over to questions and answers.
Operator: Thank you. [Operator Instructions] Our first question is from Mig Dobre with Robert W. Baird. Please state your question.
Mig Dobre: Yes, good morning and happy holidays to everyone.
Tim Sullivan: Good morning, Mig.
Mig Dobre: My first question is really surrounding guidance, I am wondering if maybe you can help us refine our assumptions a little bit at segment level, I am curious as to how your thinking of certain level growth versus your 12.5% overall growth guidance and also some color by segment on margin progression? Thanks.
Tim Sullivan: Well, I think we are going to have more of the same obviously in 2018. We had a very strong fire and emergency performance in ‘17 that’s going to continue. Matter of fact, our fire backlog is significantly higher at this time than it was last year even at this time. I think all other segments quite frankly are up – and they are going to be up obviously reflecting the type of guidance we gave. Is there any specific segment that you are asking about, Mig?
Mig Dobre: Yes. I mean, obviously, these businesses all sort of have different end-markets and cadence here. I know that in the past you have talked about fire and emergency seeing the highest growth in ‘18 and followed by commercial, followed by RV. I am wondering if that’s still your expectation and then you are guiding for 100 basis points of margin expansion. I don’t know if you have a more refined view as to one segment potentially getting more expansion than the others?
Tim Sullivan: Well, more of the same as I said and obviously, we have got a couple of segments in there that have not been performing at the level we want them to, commercial, being the most obvious one and we need that to perform better in ‘18 to really help us get to that guidance number. And you saw the improvement in RV in ‘17 we got to see more improvement there as we see in ‘18. So RV and commercial have to pickup the pace and we got to make sure that fire and emergency continues on the path forward that they have been doing.
Mig Dobre: Well, sure Tim, but I am wondering what’s embedded in your plan as you are looking into the year, do you have – because RV has obviously done better than you expected initially right, so is that sustainable – do we build upon this and maybe more color on commercial too?
Tim Sullivan: Yes, absolutely. I mean, the RV recovery that we had in ‘17 just going to continue. We have got all these new products that we put out there in September. We have had some good backlog building and that market is not cool whatsoever. Matter of fact, I think specifically about the large As tend to be a little soft, they continue to be a little soft, but we are taking more share as I mentioned I think in our last call. So, that’s going to continue on its upward movement. We think that a lot of the change that we made in commercial. We have got some new products out there. I mentioned one here on the call, the new hybrid Chrysler, those new products plus I think better market positioning is going to turn that around. We have been very discerning on the deals we will take. We will continue to be discerning, but that does mean, we are standing still, I am not trying to do things to improve the overall cost basis of our product. And we think that will help us get that commercial segment performing much further than it has the last 12 months.
Mig Dobre: Alright. Well, I guess I will let other people follow-up on that, but before I get into queue, a question on CapEx, if I understood properly you talked about CapEx still remaining in that $50 million range. This is frankly a little bit higher than what I expect and what I recall at the IPO. What changed here and how do we think about your CapEx needs beyond fiscal ‘18?
Tim Sullivan: It’s going to be 50 and actually I thought we guided to that during the IPO that it would be probably about the same for ‘18 and then probably start drifting off. We are not going to be shy about spending money to make sure we are positioning ourselves for growth. It takes money to make money quite frankly and we are putting some money into our plants to increase the efficiencies that help get our cost down. We continue to implement our ERP system and we continue to spend on the parts and service part of the business. We think that’s an appropriate spend for ‘18. It should start coming down after ‘18. And I think we really – we are not going to be shy, we think we need to be out there spending that kind of money to get the growth that we need.
Mig Dobre: Alright, thanks.
Operator: Our next question is from Jamie Cook with Credit Suisse. Please state your question.
Themis Davris: Hi, good morning. This is actually Themis on for Jamie. Just a question on going back to commercial a bit. I appreciate that you are being selective there in terms of the opportunities that you are pursuing, but there were some hopes for growth in Q4. So, I guess when did you see the sales inflecting materially and how should we think about production ramping this year given the healthy backlog growth we saw in the quarter?
Tim Sullivan: Well, we introduced the new products in the first quarter as I mentioned. And I think those products will start to build some backlog and as typical we have a very back-end loaded plan. It’s going to be the same for ‘18. So, you will see some nice ascension in the commercial area in Q2 Q3 and Q4 as we really get out of the blocks with the new products here in Q1.
Themis Davris: Got it, thank you. And then maybe going back to the JV in China, could you maybe provide some more color on the market there, why you find it attractive and how should we think about the opportunity there longer term? And you also mentioned some other select markets, so which geographies are you targeting there specifically?
Tim Sullivan: Well, that’s why I gave the detail on Chery. The reason we chose Chery is not only are they a very prominent vehicle manufacturer in the China market, but they are the number one exporter of passenger vehicles to 80 different countries around the world. So, signing up with them initially with RVs and ambulances and then expanding into the other specialty products that we do make. The biggest demand right now in China believe it or not is RVs and ambulance that’s what they want to start, but it’s not just for the China market. We are really putting together a master plan whereby we will be exporting from China into select countries certainly the 80 countries that they export not our all candidates for potential export. So, it’s a two play if you want to call it that that we executed with Chery. And that’s why we did choose Chery. It’s going to take a while for it to ramp. Nothing has done small in China. So, it’s going to take us a while to make sure the plant gets effectively built up and running, but we were very careful on picking the partner and making sure that we actually have a dual pronged marketing approach with the partner that we did choose.
Themis Davris: Thank you. And then lastly, could you give us an update on your aftermarket strategy and where we currently stand in terms of aftermarket as a percentage of total sales?
Tim Sullivan: Yes, aftermarket continues. We will give you the exact number here, but aftermarket has an initiative is growing. We plan to really get it moving at a much better pace here in ‘18. We put a lot of the blocking and tackling in place for the last 18 months, 24 months really creating a database, getting a portal in place, getting warehouses up and running. It takes a lot of money and a lot of effort to put that together and that’s pretty much behind us now. So, now it’s a matter of executing. And we have a pretty aggressive plan in 2018 to grow parts in particular and that’s obviously part of the growth that we are showing in the earnings and the revenue from around the earnings side, because it is much more profitable than unit sales. As far as our percentage of total revenue today, it’s about 4%, which obviously is not very meaningful, but stay tuned, this doesn’t happen overnight to break the paradigms, the purchasing paradigms in the market, it takes a lot of blocking and tackling, lot of grassroots efforts, but those have all started and we are confident that we are going to be able to pull those off here as we move forward in ‘18.
Themis Davris: Thank you. I will get back in queue.
Operator: Our next question is from Nicole DeBlase with Deutsche Bank. Please state your question.
Nicole DeBlase: Yes, thanks. Good morning. So, my first question is around the commercial business, just to clarify with any of the backlog growth that you saw from the LA bus order or does that come into the backlog later?
Tim Sullivan: No, that’s in the backlog.
Nicole DeBlase: And did that come in this quarter or last quarter?
Tim Sullivan: This quarter.
Nicole DeBlase: Okay, got it. Can you possibly quantify how much of it was LA bus?
Tim Sullivan: Well, I can tell you we don’t obviously list out specific deals, because it allows our competition to back into the numbers, but I can tell you in a macro basis that order is worth a minimum of $400 million, but the order is a split order. So, it’s half-and-half. Half of it goes in now and the other half goes in about a year from now. So, they can do the math, Jamie – I am sorry, Nicole, sorry about that, it’s about half of that. So, you could do the math.
Nicole DeBlase: Okay, got it. That’s helpful. And then the organic growth within fire and emergency is really strong this quarter and even on a pretty tough year-on-year comps. So, just curious the backlog growth did slow a little bit year-on-year although pretty strong Q-on-Q. How do you think about organic growth within the fire and emergency business going into 2018?
Tim Sullivan: It’s actually very strong. Right now, our biggest concern in fire is being able to get the product out, where three of our segments – two out of the three segments we have got are already backlogged into the fourth quarter, the other one will likely be backlogged into the fourth quarter here within the next 3 to 4 weeks. So, our biggest concern on fire is making sure we can get our capacities up. The demand is – the demand has been somewhat flat year-over-year, but we are doing much better with the product lines that we have got. Emergency, the same thing – emergency has been a little bit soft with the contractors and I think maybe some of that is this uncertainty around the ACA and what’s going on there, but they can’t wait forever and we actually just got some nice business into our backlog here in the last two weeks from a large ambulance contractor that was kind of a surprise for us. So, I think they have been holding back a little bit waiting to see what’s going on in Congress, well, they can’t wait forever. So, we feel – again, we are going to have a very strong year in fire and emergency across the board.
Nicole DeBlase: Okay, thanks, Tim. And then I will just squeeze one more in before I pass it on. Recreation margins were also really strong this quarter. I know that you guys listed all of the factors behind that in the press release and you talked about on the call, but will those factors continue into 2018 driving similar magnitude of margin expansion into next year?
Tim Sullivan: Yes. I think we are starting to feel really good about how we really restructure our sales down, Decatur in particular. I think you recall that we had everything in one plant. Now, we have got three plants up and running in Decatur. That’s really loosened up and allowed the products to flow. The team down on the ground there has really built some nice efficiencies and those continue to get better and better every month. So, strong market, we are taking share in the high-end and I just think the manufacturing efficiencies are going to continue through 2018.
Nicole DeBlase: Thanks, Tim. I will pass it on.
Operator: Our next question is from Steve Volkmann with Jefferies. Please state your question.
Steve Volkmann: Alright, good morning. How much of commercial is these shuttle buses these days roughly?
Tim Sullivan: About a third of it. It’s about 35% of commercial is shuttle.
Steve Volkmann: Okay. And is that shuttle, do you expect those shuttle buses to be up in ‘18 or are we going to continue to kind of wean off the less profitable deals?
Tim Sullivan: Well, as I mentioned just a minute ago, we are not sitting still. We don’t like the fact that we are not as competitive as we want to be. So, I think you should see a much better movement in shuttle bus this year. We will be in the marketplace and we will be competing I think some of what we are doing to make ourselves more competitive will start to show itself towards the back half of the year.
Steve Volkmann: Okay. And just given – I assume the backlog that you do have is more profitable that’s what you have been focusing on. Is it reasonable to expect that this segment, the commercial segment will have maybe the strongest margin growth in 2018?
Tim Sullivan: It’s going to be good, but I don’t think it’s going to be necessarily the strongest just because of the momentum we have got built up in RV. I think RV is going to probably continue to be the strongest and fire and emergency keeps moving along as well. It’s going to be good. It’s going to be better than what we have had, but it’s not going to be the strongest. I mean, we just got too much momentum built up in those other two segments.
Operator: Our next question is from Charley Brady with SunTrust. Please state your question.
Charley Brady: Thanks. Good morning. Hey, Tim, I hate to keep beating the dead horse on commercial, but I just want to make sure I am squared up on this with the LA County order, that business does not hit until beginning of fiscal ‘19 is that correct?
Tim Sullivan: That’s correct. We will be shipping next year at this time.
Charley Brady: So I guess if I do the math that you talked about in the call it looks – and I backed out of backlog, but the backlog is down pretty meaningfully commercial and I am just trying to understand maybe to the cadence or a lag time, order time when that’s going to pick up, but I guess I am just trying to square it up with kind of what expected growth you could see in commercial given that the LA stuff is not going to hit really in ‘18 at all and the base backlog X that is down year-on-year?
Tim Sullivan: Yes, no, you are doing the math correctly. And again, the basket that we do have in commercial has got a lot of products into it. You got school bus in there. You have terminal trucks, you have sweepers, you have mobility vans, you have shuttle bus and you got the terminal – or I am sorry the transit buses as well. So, there is a lot of moving parts in that backlog, but all the other backlogs, it’s – they are kind of seasonal in nature particularly school bus. I mean school bus right now, I mean, anyone that’s got school buses, it’s not – you guys tell us no backlog, it’s very, very low and that’s kind of the time of thing that you have got here to un-shuttle, about 60% of shuttle buses are federally funded on FTA contracts and those dollars kind of flow at different times there as well. So, you got the math right, this time of year for all non-type of transit buses that type of thing, unless you have got a big backlog and one of those like LA on the backlogs tend to be kind of low this time of year.
Charley Brady: Okay. So, we should – I guess what I am trying to get to is we don’t want to read into an organic backlog number in Q4 and carried that on through what we expect in 2018, because it’s obviously being skewed by timing and seasonality here and obviously some of the shorter lead time and some of the products and pick up on new stuff correct?
Tim Sullivan: You got it exactly right. Don’t push the panic button.
Charley Brady: Got it. And just one more on the fire side, just back to your comment about ability to ramp up production to meet demand, can you just expand on that a little bit is what are you doing to get that ramp up to meet the high demand?
Tim Sullivan: Well, it’s challenging. I think you look at our plants we are doing everything we can to the point where we are trying to add people on to a second shift. Labor is always an issue in manufacturing and we are challenged there to some extent. But we are working it. We are looking at different alternatives to maybe unload certain areas of the plant, do some things a little bit different in different areas where we have got other capacity. We are really managing it well, because as you know there is a lot of pent up demand in fire and we don’t like our backlogs out that far. When we are running backlogs out to August, September, that’s not healthy and they got to be less than that. So, we are working it everywhere we can, work in some second shift if we can, we get the people are offloading some of the processes to plants that have capacity.
Operator: Our next question is from Mike Baudendistel with Stifel. Please state your question.
Mike Baudendistel: Thank you. I just wanted to ask you about all this international business you were talking about with China etcetera. Just you how big you think the international revenue can be as a percentage of your total revenue and say 5 years. And just as a little bit of background on those markets, I mean, is it just as fragmented as the markets that you competed in the U.S. where you are going to be the big OEM competing in a number of small ones?
Tim Sullivan: Yes, this is – it’s a great question. I like to tell you it’s going to be equal, but that’s a big number right, but it’s a big world out there and we have done a lot of research into it. We are dedicated to that market, but we are attacking it in a different way. For example, we get people all the time trying to take – have us take a look at Europe. We have zero interest in the European market zero. It is very much like our market here. It’s very convoluted. It’s not been consolidated and you would have to buy a lot of different companies to make it work, but we would like – we like a lot of the rest of world and getting teed up than Latin America and moving that and that’s moving very quickly. We like our presence there. We felt like we needed to be on the ground there. And that is growing very quickly. The China initiative will be much, much larger than even Latin America, it’s just going to take some time to get that traction, but keep in mind it’s a two-pronged strategy. It’s a strategy to enter the China market, but it’s also using that type of manufacturing base to attack a lot of different countries that aren’t even on most people’s radar screens today. So, we expect it to be meaningful. A lot of us in the management team here and a lot of experience internationally and we are very comfortable with it. We just wanted to make sure we put the right strategy together and I can tell you both strategies that we have embarked on are going to reap us some very strong benefits. So, I don’t know ask me a year from now, I don’t have a better idea of what it may look like, but in 5 years, it could easily be equal to what we are doing now, easily.
Mike Baudendistel: Great. Very encouraging. Just wanted to also ask you just where you stand on consolidating the purchasing of procurement sort of across the enterprise, if you can give us some sense on how far you are aligning in the debt process?
Tim Sullivan: Nicely along. I said it’s all about making money right. And if you are growing your top line by 15 or 18 your bottom line by 30 it’s got to be having a meaningful impact on to the bottom line of our company. It is. Our sourcing team is doing a great job. We are well into having that working along at a very nice pace. The nice thing about that too is if you look at when we pickup four companies, we can load those under the REV umbrella and start getting synergies almost immediately with the sourcing that we do. It’s the first thing that we do. And the team is very good. And I think we have got some good arrangements out there and we are reaping the benefits of those and that’s where bottom line is growing the way it is as well.
Operator: Our next question is from Courtney Yakavonis with Morgan Stanley. Please state your question. Courtney, please state your question.
Courtney Yakavonis: Sorry, I think I was on mute. I just wanted to go back to the partnership with Chery, I think in the press release you had said that we can expect to see some of the first production of the vehicles in the second half of next year and I am appreciating that it’s going to be a much larger initiative that will take some time, but how much are you guys expecting in your 2018 guidance right now?
Tim Sullivan: Almost nothing. It’s going to be a very cautious and slow ramp up. It’s going to be more of a ‘19 and beyond story. It takes a while to get things up and running in China. And as I mentioned in China, it’s kind of like Texas, everything is big. And so it’s going to take us a while, so very little to nothing in 2018.
Courtney Yakavonis: Okay, got it. And then just on the RV side, can you just give us the breakdown of your mix on Class A versus C in 4Q and then kind of what your projections are for next year with some of the new products that you are rolling out?
Tim Sullivan: Yes, As are about 75% of our sales. And as you know, I think we compete mostly in the mid and high-end range. The mid-range has been very active. The high-end has been a little soft, but about 75% are As, so that remains so 25% and that’s split right now pretty evenly seasoned Bs. As you know that the Cs and Bs are very active, our challenge on Bs and Cs is our backlogs are too big there too. We are trying to work as fast as we can to work down those backlogs and we are spending some money to ramp up our manufacturing capability, particularly on Bs that the Bs haven’t had incredible I think acceptance in the marketplace.
Operator: Our next question is from Joel Tiss with BMO Capital Markets. Please state your question.
Joel Tiss: Hey, guys. How are you doing?
Tim Sullivan: Good, Joel.
Joel Tiss: I wonder if you can give us some idea maybe even 5 years out like what kind of targeted EBIT margins can we expect across the different divisions. Can you give us a little sense of that like what the target is longer term?
Tim Sullivan: Yes, I think people will think I have got rocks in my head, but if you think back, Joel, when we got to – in my prior life we got to 10% to 15% margins, we said now we are going to 20%, we can get to 20% in 5 years and we need though meaningful aftermarket contribution to get to that type of EBITDA margins and that’s how you do it. I mean, we will continue to get good at building product and we will get above 10% EBITDA margins and when we get there our next target will be 20%, but we can’t get to 20% until we get some real good meaningful traction in the aftermarket area. And as you know, we are spending a lot of money there, because I believe in it and I think we can do it.
Joel Tiss: So aftermarket needs to be what like 15% of the mix, is that what you…
Tim Sullivan: Yes, if not more. I mean, it could be – if you look at the total universe we got out there and we don’t even talk about service, but we know we have $800 million worth of parts purchased for our vehicles every year, $300 million of that is chassis parts. It’s really being able to break the purchasing paradigm and people say well, that’s hard to do. It is hard to do. It’s not easy, but parts it’s pretty basic, you get parts at people’s fingertips at reasonable prices and you service them really, really well. You can break the paradigms though and they will buy it from plus. We also have the other advantage of working through dealers and telling the dealer that they need to be buying their parts from us, which so there is some leverage there, but yes, it could be as high as 15% to 20% of revenue.
Joel Tiss: And then just a clarification and then one more question after that. I didn’t know if you gave us a free cash flow guide for 2018 and also I just want to make sure that your guidance doesn’t – it doesn’t yet include whatever we get on tax reform?
Tim Sullivan: Yes, we haven’t yet. We will give you something here.
Dean Nolden: Yes. As I said in my remarks, we are forecasting positive free cash flow even with the levels of CapEx we disclosed. We are forecasting before that reform to be in the $40 million positive free cash flow range. So, in the call gave you some numbers regarding cash taxes, which I think she quoted $15 million benefit next year that’s what we are targeting.
Operator: [Operator Instructions] Our next question is a follow-up question from Mig Dobre with Robert W. Baird. Please state your question.
Mig Dobre: Yes. Just a couple of clarification, thanks for taking them. First is the on the D&A guidance, you guided last quarter for $34.5 million, you came out to $37.8 million, I am wondering what the variance was here in just one quarter? And related to this one, I am looking at next year’s guidance, what I am looking at fiscal ‘18 $40 million to $43 million, can you breakout the amortization component out of that, because that’s what gets added back into adjusted EPS?
Dean Nolden: Yes, two things. One is as we complete our acquisitions, particularly the ones that we made in the middle of the year, Ferrara and Midwest, we settle in on what the intangible assets are related to those acquisitions. You never know what those are going to settle in on, because there is third-party evaluations there done, but the story for the increase in D&A is really amortization related to intangibles that we have acquired as we have closed out the year and recorded those purchase accounting adjustments, so to speak, of balance sheet. Going forward in next year, we were forecasting it from an amortization perspective about $4 million for amortization expense.
Mig Dobre: Okay, that’s helpful. And then lastly back to fire and emergency, you talked about the business being flattish, but I guess when I am looking at your implied orders, I am sort of drawing the different conclusion. Correct me if I am wrong, but it looks to me like your implied orders were up 31% year-over-year in the fourth quarter, some of that was acquisitions, but even back in the acquisitions out, it seems like your orders here were up on a quarter basis something like 15%? So correct me if these stats are wrong, but it looks to me like order growth here has been quite good right?
Tim Sullivan: Yes, the industry has been a little flat year-over-year, Mig, but we are taking share. We don’t like to advertise that fact, but we are taking share.
Mig Dobre: Okay, thank you.
Operator: I would like to turn the conference back over to Tim Sullivan for closing remarks.
Tim Sullivan: Thanks everybody for joining us today. I can only reiterate how pleased we are with 2017 performance. When I think back I have been here for 3 years and when I joined 3 years ago to manage the assets that have been pulled together, the 14 different assets that have been pulled together by our PE sponsor and put under the umbrella at that time called ASV, we made $50 million the year I came in and to see where we are at today after being relevant for only 2 years. It’s very encouraging for us as a management team to see the fruits of our labor I guess as we go forward. So, great ‘17 looking forward to another really strong ‘18 and I think obviously beyond that as we start to see some of these new initiatives take hold in the marketplace. All of you should have received and this is investors and analysts all of you should have received an invitation from Sandy about our upcoming Investor Day in Orlando, Florida on January 16. I think you should really make an effort to be there. It’s something that I think you will not be disappointed. We will have over 50 of our products on display. Every single thing we make and probably a couple of everything we make will be on display down there. We have over a thousand dealers and customers signed up to attend. We will have a section obviously or a session with all of you to allow you to take a deeper dive with us into our overall strategy. I give you a lot more color around some of our initiatives and some of our product offerings. We will have some of our new products from the commercial segment there. We will have some of our sneak preview of our 2019 RVs. It’s going to be an annual event that we are going to do and if we can get there, I think it’s a good thing January 16. Also if you can get through the night before, we are having an event of the House of Blues with the Chicago entertaining our 1,000 customers and we love to have you participate in an informal atmosphere with us and our customers as well. So, mark your calendars if you can. I think it will be well worth your while. So, let we close, Merry Christmas, Happy Hanukkah, Happy Kwanzaa, Happy Festivus, Happy New Year, see you guys in January or will be on the call again in March.
Operator: Thank you. This concludes today’s conference. You may disconnect your lines at this time and thank you for your participation.